Operator: Thank you for standing by. This is the conference operator. We welcome you to Microvast's Second Quarter 2023 Earnings Call. As a reminder, all participants are in a listen-only-mode and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Rodney Worthen, Microvast’s Director of Investor Relations. Please go ahead.
Rodney Worthen: Thank you, operator, and thank you, everyone, for joining us today. Joining me on today’s call are Mr. Yang Wu, Founder, Chairman, President and CEO; Mr. Sascha Kelterborn, Chief Revenue Officer; and Mr. Craig Webster, Chief Financial Officer. Ahead of this call, Microvast issued its second quarter 2023 earnings press release, which can be found on the Investor Relations section of the company’s website at ir.microvast.com. In addition, we have posted a slide presentation to accompany management’s prepared remarks. As a reminder, please note that we will be making forward-looking statements on this call. These statements are based on current expectations and assumptions and reflect our views only as of today. They should not be relied upon as representative of views for subsequent dates, and we take – undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause these actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our annual reports on Form 10-K filed on March 16, 2023, and the 10-Q filed earlier today. In addition, during today’s call, we may discuss non-GAAP financial measures, including adjusted gross profit, adjusted net loss and adjusted EBITDA, which we believe are useful as supplemental measures of Microvast’s performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. These non-GAAP measurements have been reconciled to their most comparable GAAP metric and the tables included at the end of our press release. A webcast replay of this call will also be available on the Investor Relations section of our company website. With that, I will turn the call over to Mr. Wu for opening remarks.
Yang Wu: Thank you, Rodney, and thank you all for joining us today. I would like to start off with a high-level overview of the quarter before providing some operational highlights. I will then turn the call over to Sascha Kelterborn, our Chief Revenue Officer, who will discuss some of our key wins in the quarter, followed by Craig Webster, our Chief Financial Officer, who will discuss the financials in more detail. I will then address our outlook for Q3 and the full year 2023 before opening the call up to questions. Please turn to Slide 4 as I cover a few highlights from the second quarter. We posted a 16% revenue growth in Q2 2023, delivering revenue of $75 million. This increase came from growth in our European business, along with the strong demand from customers in China. We once again achieved a double-digit gross margin with an adjusted gross margin of 17.3%, a 7 percentage point increase year-over-year. We ended the second quarter with a record backlog of $675.9 million, driven by a strong order intake of $271.3 million from our commercial vehicle business. This growing backlog demonstrates the rapid adoption of our new 53.5 amp hour cell technology across commercial vehicle and ESS applications. Turning to Slide 5. Our most significant operational achievement in Q2 was our Phase 3.1 expansion in Huzhou for our 53.5 amp hour cell. This has now transitioned from trial production to shipping qualified products to our customers. Since Q1, our contract capacity for deliveries of our 53.5 amp hour cell from Huzhou through Q2 2024 has increased from 50% to 75%. We expect customer orders and deliveries to increase further as the year progresses, especially for deliveries to the United States and Europe. We would also like to provide an update on our ESS container assembly operations, as you will see from Slide 6. Due to the rule change related to how domestic content is valued as a part of Inflation Reduction Act, we have decided to locate all ESS container assembly operations in the United States. Because this change could have adversely impacted our customers, we expanded our Colorado footprint and will no longer base any of those operations in Mexicali. This company-owned facility in Windsor, Colorado has the capacity to assemble 1,000 containers annually. We are preparing Windsor to start assembly operations and expect to begin shipments or finish the 4.3 megawatt hour ESS containers in early Q4 to customer job sites. We had originally planned to start shipments in Q3, and therefore, we expect some pushout in recognizing revenues from our ESS business this year. The short-term impact on booking revenues this year is far outweighed by ensuring our assembly facility put our customers and partners in the best position to claim the domestic content bonus credit. I would now like to turn the call over to our Chief Revenue Officer, Sascha Kelterborn, who will discuss some of our key sales partnerships and achievements in the quarter.
Sascha Kelterborn: Thank you, Mr. Wu, and thank you all for joining us today. First, I would like to provide a little bit more color on our backlog. As Mr. Wu mentioned, our backlog increased six times year-over-year, driven by both the rapidly expanding energy storage business in the U.S. and strong commercial vehicle demand in Europe. Over 80% of our record USD 675.9 million backlog is comprised of orders for 53.5 ampere-hour cell from customers in the U.S. and Europe. We also saw increasing demand in South Korea and India, where we successfully secured several important projects. Now please turn to Slide 7 as I cover a few highlights from the second quarter. During the quarter, we received the first purchase order from a leading U.S. commercial vehicle OEM for deliveries from Clarksville starting in 2024. Additionally, we received an order from a leading European port vehicle OEM for a new heavy-duty port application. Both projects further expand our footprint in serving commercial vehicle customers. We also signed a general purchase agreement for 1,000 units for our 21 ampere-hour Gen 3 pack with JBM Group. The leading Indian bus OEM delivery started in May and extends to the second quarter of next year. JBM Group is a global automotive conglomerate with operations in more than 25 locations across 10 countries, and Microvast presently represents the main supplier of lithium technology for JBM. Turning to Slide 8. We substantially increased our backlog for one of our largest customers, Iveco Group, during the quarter. Early this year, we announced an initial contract for a new 53.5 ampere-hour battery pack, which will power their new crossway low-entry city and intercity bus platforms. Furthermore, we are providing Weichai, a leading multinational industrial equipment company, with our Gen 4 high-power battery for their hybrid truck platform. Weichai is operating globally with a focus on the new energy vehicles and strategies such hybrid and fuel cell technologies. Microvast is also extending our partnership with REFIRE, a leading hydrogen technology company, to equip over 100 units of their 4.5-tonne hydrogen truck with our Gen 3 packs. REFIRE is a long-term partner of ours focused on R&D and product development for advanced fuel cell systems. Microvast is a major supplier of batteries to both Weichai and REFIRE for their hybrid and fuel cell product offerings, and we are proud to support them in the global transition to clean energy. Another positive benefit here is that we strengthen our technology references for fuel cell applications, which presents opportunities for future development and partnerships. We had another excellent quarter in building up our European business. Our European revenue increased 91% year-over-year in the second quarter and accounted for 13% of our total revenue, up from 8% of revenue a year ago. This growth was driven by the continuously ramp-up of several customer projects. In addition to Iveco Group, Gaussin and REE entering several deliveries, multiple customers have placed multiyear contracts. Looking ahead to the next quarter, we expect to add significant multiyear contracts to our backlog for European commercial vehicle customers dedicated to both existing and new technologies. I will now turn the call over to our Chief Financial Officer, Craig Webster, to review our financial performance in the quarter.
Craig Webster: Thank you, Sascha. I’ll spend the next few minutes discussing our Q2 2023 financial results. Please turn to Slide 10, and I will summarize the main line items from our Q2 P&L. We recorded another strong quarter with Q2 revenue of $75 million, an increase of 16% from $64.4 million in Q2 2022. Growth was primarily driven by an increase in sales volume led by strong sales in China and increasing deliveries in Europe as our OEM customers ramp up their production volumes. On a year-to-date basis, revenue was $121.9 million, up 21% from $101.1 million in the prior year 6-month period. Our gross margin improved to 15.3% in Q2 2023 compared to 7.5% in Q2 2022. After adjusting for noncash settled share-based compensation expense and cost of sales, adjusted gross margin increased to 17.3% in Q2 2023 compared to 10.4% in Q2 2022, a 6.9 percentage point improvement. The increase in gross margin was due to a combination of improved economies of scale, more favorable product mix and lower raw material prices. Operating expenses were $39 million in Q2 2023 compared to $50.4 million in Q2 2022. Consistent with the past few quarters, the largest contributor to the decrease in operating expenses was the decline in our share-based compensation expense, which totaled $16.3 million in the quarter compared to $28.6 million in Q2 2022. After adjusting for noncash SBC expense in SG&A, our adjusted operating expenses in Q2 2023 were $22.7 million compared to $21.7 million in Q2 2022, an increase of $1 million with increasing headcount costs as we expand our business being the largest contributor. GAAP net loss was $26.1 million in Q2 2023 compared to net loss of $44.2 million in Q2 2022. After adjusting for noncash SBC expense and changes in fair value of our warrant liability, adjusted net loss was $8.3 million in Q2 2023 compared to an adjusted net loss of $14.9 million in Q2 2022. On a year-to-date basis, adjusted net loss was $19.9 million compared to an adjusted net loss of $44 million in the prior year 6 month period. You can see the impact of these adjustments in Slide 11, and reconciliations of these non-GAAP metrics to the most comparable GAAP metrics are entered in the tables at the end of our earnings press release. Slide 12 shows the geographic breakdown of our revenue for Q2 2023 compared to the prior year period. As you can see, our European business showed a strong 91% year-over-year increase and accounted for 13% of our revenue, up from just 8% a year ago as key customers begin their vehicle ramp-up. We continue to expect growth in our European revenues throughout the second half especially for the 53.5 amp hour cell, in line with vehicle build plans from our customers. Although our U.S. revenue increased a modest 1% year-over-year, we continue to expect U.S. revenue to rise this year as we begin deliveries on our 1.2 gigawatt-hour ESS project in the second half of the year. As Mr. Wu mentioned, there is a near term impact to when we recognize some of those revenues after making the strategic decision to make Windsor, Colorado our dedicated ESS assembly hub. Looking ahead, we expect U.S. revenue growth to pick up in Q4 and to continue to accelerate next year as Clarksville comes online. Turning to Slide 13. We ended the quarter with cash, cash equivalents, restricted cash and short-term investments of $195.8 million. Net cash used in operating activities during the quarter was $29.8 million, which was primarily due to operating loss and working capital. Negative free cash flow in the quarter of $87.6 million resulted from this net operating cash outflow as well as our capital investment program. The majority of this capital expenditure in Q2 was to fund our capacity expansion in Clarksville and Huzhou, which totaled $52.5 million. We also have capital expenditures totaling $5.2 million relating to improvements to our existing facilities and ongoing R&D projects. Looking ahead, we estimate that our full year capital expenditures will remain in the range of $180 million to $210 million and will primarily be used for the Clarksville Phase 1A capacity expansion. As Mr. Wu mentioned, we are pleased to report that our Clarksville facility remains on track for a Q4 start of trial production. Turning to Slide 14. We show you the financial resilience of Microvast. Our total debt outstanding of $93 million is very modest, and you can see that the maturity profile requires only $6.5 million to be repaid in the second half. Looking further out. Total debt repayments up to 31 December 2025 are a very manageable $33.6 million. All of this debt is for our China operations, and none of it has any recourse to our U.S. holding structure or asset. Turning to the U.S. operations. These currently remain free of leverage, and we are making solid progress on the debt financing, which is likely to be secured by the Phase 1A expansion. We expect that facility to be in place during Q3. As outlined on Slide 15, we closed the second quarter with record backlog of $675.9 million, up from $486.7 million in the first quarter and an over six times increase year-over-year. The 39% sequential growth in our backlog was once again driven by commercial vehicle projects in Europe. Our solid [ph] backlog underpins our expectations of multiple years of fast growth given the rapid and accelerating adoption of our 53.5 amp hour cell sales for commercial vehicles and ESS projects. Currently, the 53.5 amp hour cell accounts for over 80% of our total backlog. Turning to Slide 16. Based on our backlog, we anticipate high utilization rates for our Phase 1A expansion in Clarksville. At full utilization on Phase 1A, Clarksville has an IRA Section 45X potential of around $80 million per year. With the ability to monetize these credits early, Clarksville has the capacity to self-fund its additional expansions. If we fill Phase 1A, it generates IRA credits. And if Phase 1A has no spare capacity, then we need to expand, which generates additional IRA credits. And we would only expand if we have obtained customer equipment. That’s the golden rule. You can see from Slide 17 that we are targeting adjusted gross margins in the 20% range next year as we scale our business and putting us on a path to profitability over the next 2 to 3 years. We’re already starting to see that gross margin expansion this year. We expect to achieve continued margin improvement through our key levers of industrialization, automation, utilization and relentless innovation. With that, I will turn it back over to Mr. Wu to review our outlook.
Yang Wu: Thanks, Craig. Please turn to Slide 19. We maintained guidance for our full year revenue to be in the range of $348 million to $368 million, representing year-over-year revenue growth of 70% to 80%. Even with the near term delay in the shift to Windsor, Colorado, we are very encouraged by our continued backlog growth, which greatly increased our visibility into 2024 and beyond. For the third quarter, we expect the revenue to be in the range of $72 million to $80 million, up 97% from Q3 a year ago as a midpoint, driven by the continued ramp of our European commercial vehicle projects as well as orders from customers in Asia Pacific. As we continue to enhance our substantial backlog position, we retain clarity into the second half of 2023 propelled by our commercial vehicle segment and expansion of our energy storage business in the United States. We see strong demand trajectories for Microvast battery solutions across the globe and anticipated that growth and the momentum to carry forward as customer orders remain robust throughout this year and into the next. We are proud of what we have achieved thus far in the first half of the year with Huzhou Phase 3.1 successfully ramping up to qualify production of our 53.5 amp hour cell. Its production will continue ramping up in the second half. Additionally, we succeeded in securing the new company-owned facility in Colorado to begin assembling our complete U.S. made ESS solution for customers across the country. As we look to second half, our focus shift to bringing our Clarksville Phase 1A operation online and beginning trial production in Q4, so we can hit the ground running as we enter 2024. While we must continue to execute, we are encouraged by our backlog growth, gross margin improvement and the customer excitement as our new and upcoming capacity expansions begin to fulfill orders around the world. I would like to take this moment and personally thank the Microvast team for their tireless work and commitment to our mission. Our focus on results and our ability to execute have been and will continue to be a competitive advantage for Microvast. And now I will turn the call back over to the operator to start the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question is from Colin Rusch with Oppenheimer. Please proceed.
Colin Rusch: Thanks so much. Can you speak to the key drivers of the cost savings at the gross margin line? And how much was driven by the supply chain, how much from utilization improvement and how that likely evolves for the balance of the year?
Craig Webster: Colin, I’ll take that one. Some of it’s definitely coming from product mix, which is just more 53.5 amp hour. As that ramps up throughout the year, we expect utilization is going to increase, and you can see that in the trajectory for like future quarters. Certainly, there’s been benefits in raw material prices, has helped some as well. And some of it’s also sort of that geographic shift as well. More revenue is being recognized in Europe.
Colin Rusch: That’s super helpful. And then when we look at the backlog number, at the Analyst Day, you talked a little bit about some of the awards that you’ve gotten. Could you give us an update on where you’re at in terms of incremental order contracts and which end markets those may be coming from?
Craig Webster: Sascha, do you want to deal with the first bit and then I’ll – in terms of the additional backlog and then I’ll give a bit more color in terms of ’24, yes? A - Sascha Kelterborn Sure, Craig. I will. Thanks, Colin, for the question. So generally speaking here, we will increase our backlog purely dedicated on the commercial vehicle, right? This means in the bus section. It means on the truck section. So the 53.5 ampere-hour is dedicated for that, and we see a couple of significant wins upcoming in the next quarters. And we already increased due to the fact that the European OEMs are now doing their start-up production rollout. We increased existing contracts, and we were able to gain further backlog in this contract as well.
Craig Webster: Colin, I’ll just add a bit more context as well. So you saw that over 80% of the backlog is 53.5 amp hour, so we’re just starting to ramp that up. As we do that, that’s one that’s going to help us with that gross margin expansion because we just hit higher utilization. And then in terms of production planning, over 60% of the backlog is for ’24. And the backlog is a two really big areas of comfort. It underpins the numbers for this year, and we know we’ve got to have a big Q4. That’s not a sales challenge, right? The sales are there, they’re in backlog. We just got to produce as much as we can. Everything that we can produce has got a home for. And then as we look out to ’24, we can see already that we’re going to have already a significantly bigger year than this year, and that’s all again based on 53.5 amp hour. Q - Colin Rusch Excellent. Thanks a lot for the detail, guys. And then the last one for me is just how are you seeing the competitive landscape evolving for commercial vehicle batteries? Obviously, the 53.5 hour – or amp hour cells have been really well received by the market. Are you seeing other OEMs start to follow your lead on that?
Sascha Kelterborn: That’s a good question, Colin. So we are not only producing the 53.5, but this is one of the leading future products of ours, and we see that further OEMs are adopting these cell technologies. They see clearly the advantage of life cycle and fast-charging capability, and this plays a very important role for their total cost of ownership calculation. So I will report most likely in the next – in Q3 and Q4 about some further – very nice updates on the 53.5 especially on the commercial vehicle side. So you will see that there, we are right now in the process of getting these things moved ahead. And you can see that the 53.5 is not only up – rising in Europe, but we have also interesting demand, as you can see on our slides, also with JBM in India. So they are not only dedicated to 21 ampere, but they are also moving toward 53.5. So it’s picking up in general. The technology plays a major role for us in the commercial vehicle application. But we have also the 48, which is the same standard, same LBC cell, which will also play a big role, especially on the fuel cell side, which we talked about. So this will be also a topic which will – where we will see more increasing demand on the commercial vehicle side.
Colin Rusch: I have some clarification on that, but I’ll take it off-line. Thanks so much, guys.
Sascha Kelterborn: Okay.
Operator: Our next question is from Amit Dayal with H.C. Wainwright. Please proceed.
Amit Dayal: Thank you. Good afternoon, everyone. With respect to sort of the margin outlook, it looks like some revenues have been pushed out from 3Q to 4Q. Will that impact margin performance next quarter for you guys, gross margins?
Craig Webster: Hi, Amit. It’s only going to be a little bit of revenue pushout next year. There’s a chance that we can recover it because what we don’t include in backlog is a lot of China revenues. And as you see from previous quarters, Q4 is always super strong for China. That could make up some of that. And whether it’s going to be for an energy storage or commercial vehicle customer, what we’re ramping up is 53.5 amp hour. So pushing a little bit out is not going to impact margins.
Amit Dayal: Okay. Thank you for that. I mean it’s good to see the execution on that front continue to come through. And then on the operating expense side, is this sort of where we will be for the rest of the year, Craig, in terms of total OpEx, what we saw for Q2?
Craig Webster: What will happen is, particularly on like sales side, I mean, as we – we’re probably going to get very close to doubling revenues from where we are today in Q4, so you can have some more sales expense around that. R&D expense is not going to increase significantly throughout the year. G&A is manageable. I think we’ve guided you before that where we’re trying to manage this year is around sort of 20 to 25 in cash OpEx, and it’s still the target. And I think we’ve got all of the infrastructure in place to like deliver these increasing revenue, so I just don’t see much impact. What we’ll be focused on, really, Q3, Q4 that’s going to impact margins is just improving yields. And as we improve yields, we’ll improve margin.
Amit Dayal: Okay. Thank you. Just one last one for me on the separator side maybe. Any updates with respect to how you are setting time line expectations for that offering?
Craig Webster: You just broke out right at the start, Amit. What was the first bit on?
Amit Dayal: For the separator product. Any update on the time line for commercialization. Post the developments last quarter, just wanted to see how the time line for bringing the product to market might have changed.
Yang Wu: This is Yang Wu. And separator right now, we are focusing on China, the 10 million square meter small production line. We want to make [indiscernible] in the sample cell first, and we are still planning to build a bigger factory in later years.
Amit Dayal: Okay. Thank you. That’s all.
Operator: Our next question is from Sean Milligan with Janney. Please proceed.
Sean Milligan: Hey, guys. Nice quarter and thanks for taking my questions. Craig, I was trying to kind of back in. You gave a total backlog of $676 million. You talked about China having $370 million contracted volumes, and then I think you said like 80% of backlogs, the 53.5 amp hour cells. Just like can you clarify like how much backlog you have for Clarksville at this point?
Craig Webster: Okay. So the – just – you might have got – I might have misspoke, but there’s very little backlog for China in there. So China is a much more short-term market. So this is the beauty of the backlog, right? So it’s – over 80% is 53.5 amp hour. Backlog is about 10% for China market, and the balance is split roughly 50-50 Europe with – and then U.S. The way we look at backlog for Clarksville is like whatever we can produce for an energy storage customer, that could come from the U.S. But right now, the only production we have is Huzhou. So all 53.5 amp hour cell production this year is coming come from Huzhou because that’s what’s available. Does that answer your question?
Sean Milligan: Yes, that’s helpful. And then you talked about 1,000 units per year for the container manufacturing or assembly facility. I’m just trying to think. Like so that’s above – like is that in preparation for a Phase 1B of Clarksville because it’s more than the output you’ll have, right?
Craig Webster: Yes. No, Sean, good question. I suppose the easy way to think about it is 1,000 containers is about $1 billion a year in revenue. Phase 1A is roughly like – excluding IRA, Phase 1A is going to be about a $500 million. Phase 1B would be the same, would be another $500 million. So the – this is the beauty about Windsor, is that it’s sized for the Phase 1A and Phase 1B.
Sean Milligan: Okay. That’s really helpful. And then I guess like one last question if you can take it. But in terms of timing for the larger utility scale storage projects, are you waiting on some of the domestic content revision clarity? Like what are your customers telling you in terms of what they’re waiting to put in additional firm orders there?
Yang Wu: Actually, we’re not waiting for. We are working so hard to increase the capacity as much as possible. And right now, the purchase order is more than what we can make, and it’s a good problem to have.
Sean Milligan: Okay, great. Thank you, guys and nice quarter.
Yang Wu: Thanks a lot, Sean.
Operator: There are no more phone questions at this time. I would like to turn the call back over to Rodney to address questions that have come in via e-mail.
Rodney Worthen: Thank you, operator. We’d like to take just a couple of questions from the online for the management team. In relation to the backlog growth, can you give a bit more color onto what is happening and where you see the backlog going from here?
Craig Webster: Okay. Well, both. It’s demand from commercial vehicle customers is super strong. I think Sascha can touch a bit more on that. And then energy storage customers, which is U.S., as Wu Yang just mentioned, it’s more of a – like what we’ve got available than sales, and our expectation is that the Clarksville 1A is going to be super high utilization as soon as it’s running. And based on orders, we’ve got customers that want to book out ’25 capacity already. And as we get that ’25 capacity booked, we have to take prepayment. Like cash comes in early, and then we can use that to then fund the additional capacity expansion needed. Sascha, do you want to add anything else on commercial vehicle backlog growth?
Sascha Kelterborn: Yes. Let me add three things. Craig, thanks a lot. So in general, we are gaining also further volumes in other markets like South Korea, Taiwan. We’re increasing our backlog in India. So we are further increasing backlog for projects, which are dedicated to ’25, ’26 onwards with – on commercial vehicle side also in Europe. And what we clearly see is that similar to the development of Europe, we are getting more and more prototype orders into the U.S. So also here, we will see over ’24, ’25 upcoming for the further backlog increases. Also on the commercial vehicle side, we see that European customers, which we have are moving to the U.S. winning their electrification projects, and they are using as well the same technology what they’re using Europe today already with the 53.5. So they are taking that technology also to the U.S. market.
Rodney Worthen: All right. And that’s it. I’ll turn it back over to the operator.
Operator: Thank you. This will conclude the question-and-answer session. I would like to turn the conference back over to Mr. Wu for closing remarks.
Yang Wu: Thank you all. Thank you all joining us today. Thank you for your time. And I hope you guys – everybody think of Microvast more with your beautiful dreams. Thank you.
Operator: Thank you. This will conclude today’s conference. You may disconnect your lines at this time, and thank you for your participation.